Operator: Good morning and welcome to the Franklin Street Properties Corporation Third Quarter 2015 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Scott Carter. Please go ahead.
Scott Carter: Good morning, and welcome to the Franklin Street Properties third quarter 2015 earnings call. With me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; Jeff Carter, our Chief Investment Officer; and Janet Notopoulos, President of FSP Property Management. Also with me this morning are Toby Daley, Vice President and Regional Director of Atlanta and Houston; Will Friend, Vice President and Regional Director of Denver and Minneapolis; and John Donahue, Vice President and Regional Director of Dallas. Before I turn the call over to John Demeritt, I must read the following statement. Please note that various remarks that we may make about future expectations, plans and prospects for the company may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factor section of our Annual Report on Form 10-K for the year ended December 31, 2014, which is on file with the SEC. In addition, these forward-looking statements represent the company’s expectations only as of today, October 28, 2015. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company’s estimates or views as of any date subsequent to today. At times during this call, we may refer to Funds from Operations or FFO. A reconciliation of FFO to GAAP net income is contained in yesterday’s press release, which is available in the Investor Relations section of our website at www.franklinstreetproperties.com. Now, I’ll turn the call over to John. John?
John Demeritt: Thank you, Scott. Good morning, everyone. Welcome to our third quarter 2015 earnings call. On today’s call, I’ll begin with a brief overview of our third quarter results and afterwards our CEO George Carter will discuss our performance in more detail and provide an update on our operations and overall strategy as we look ahead to the remainder of 2015. Janet Notopoulos, the President of our Asset Management team will then discuss some of our recent leasing activities; and then Jeff Carter, our CIO will discuss our investment and disposition activities. After that, we can take some questions. As a reminder, our comments today will refer to the earnings release, supplemental report, and 10-Q all of which were filed yesterday. And as Scott mentioned, these can be found on our website. We reported a decrease in funds from operations or FFO of about $1.6 million to $27 million for the third quarter of 2015, compared to the third quarter of 2014. The decrease was primarily from lower occupancy and lower property income as a result of some of the property dispositions were completed and some lower repayments were received in the last 12 months. You can see the effect of this in our same-store results, which we produced earlier. These decreases were partially offset by property income from the acquisition of Two Ravinia that we completed this past April. Our FFO per share as a result was about – was $0.27 compared to $0.28 per share in the third quarter of 2014, and these results were in line with our expectations. Turning to the balance sheet, our current financial position at September 30, 2015, we had approximately $920 million of unsecured debt outstanding and our total market cap was $2 billion. Our debt to total market cap ratio was 46.1% at the end of the third quarter, and our debt service coverage ratio was about 5.1 times for Q3. The debt to adjusted EBITDA ratio was 7.1 times. From a liquidity standpoint, we had a cash balance of $19.1 million and $200 million available on our $500 million unsecured line of credit, and as a result had approximately $219 million of liquidity at the end of the quarter. We remain comfortable with our leverage and our unsecured rated borrower with about 74% of our outstanding debt effectively fixed or not affected by changing interest rates. As we continue to execute our asset recycling program, we believe our balance sheet position enhances our ability to optimistically sell non-core assets and reinvest proceeds to execute our overall grow strategy. Before wrapping up, I wanted to note that we’re tightening our FFO guidance for 2015 and George will talk you more about that. With that, I’ll turn the call over to George. George?
George Carter: Thank you, John. Good morning, everyone, and thank you for taking the time to listen to Franklin Street Properties third quarter 2015 earnings call. As John mentioned, our FFO was – in the third quarter was $0.27 per share, and our property portfolio as of the end of the quarter was about 90% leased, definitely it was a quite summer relative to leasing. Dispositions and acquisitions, however, has fall has started, we have gotten much more active on all fronts. As John said, we have narrowed our guidance range for the full-year 2015 to $1.5 to $1.7 per share. And that’s from originally at the start of 2015, $1.3 to $1.8, so we brought down on top side of that original guidance by standing at the bottom side of the company advantage at this point. We do anticipate next quarter giving 2016 full-year guidance. And just taking a side bar for a minute to just talk about guidance as John said, I would like to talk about it in a context of our current property portfolio repositioning and recycling plan and general ongoing leasing activity. When we start a year like 2015 or upcoming 2016, we really start with sort of a run rate of the existing portfolio, as it exist in that moment. And we exclude the impact of any dispositions, acquisitions, development projects, or other capital market transactions. And in 2015, we haven’t really done any significant upside capital market transactions, most of our activity during 2015 has been organic. So, basically, we start the guidance process for the New Year. We assume certain leasing velocities for the existing portfolio, certain rental rates, and we look at that portfolio relative to its upcoming lease role and its current vacancy. Obviously, the assumptions of leasing velocity and rental rates make move out in reality being higher or lower than the original estimate. And next quarter when we get 2016 guidance, they’ll reflect this basic starting activity and how we put together that guidance. But also affecting guidance adjustments during the course of the year, as we just adjusted, and potentially and significantly so is our current property portfolio repositioning efforts. As most of you know, we’re working on disclosing of a number of our suburban assets and acquiring more urban infill office assets. And generally speaking disclosing of our suburban assets, we’re disposing our assets that have higher occupancy, and we’re disclosing them generally with higher cap rates. In our acquisitions, we’re buying much of our urban infill CBD properties with a large value add component, which generally reflects itself as a higher vacancy, and we’re generally buying them as initially lower cap rates on suburban we’re selling. So we’re disposing up high occupancy at higher cap rates, buying urban infill lower occupancy at lower cap rates, and that obviously affects guidance adjustments during the course of the year. Also important is the understanding of the timing of the dispositions and acquisitions, we generally, if we don’t use any bridge financing or outside capital markets, we generally have to disclose a several suburban properties to acquire one urban property as the urban properties are generally far more expensive. We have not been very interested in bridge financing acquisitions ahead of anticipated dispositions. It seems to fallout of our risk parameters of the company and those risk parameters really have to deal with a sudden capital market dislocation of geopolitical that are something that might shut things down and many things can happen there. If the capital markets were to shutdown and property disposition market were to shutdown, we would be really discussing much leverage. So, generally speaking, there is a timing issue that affects our guidance relative to dispositions and acquisition. Also, as a reminder, we are repositioning this property portfolio for what we believe will be better long-term FFO growth and NAV creation versus the suburban office – the whole suburban office that we are currently trying to dispose off. And this view of urban property better long-term growth falls really in line with our view as a very long, but slower growth economic cycle and traditional cycles. This cycle is being punctuated by changing U.S. operation demographics and numerous important in many locations many of them in the CBD and urban infill locations, changing our environments to better respond to employees – employers desires to live and work together. So when you look at our 2015 guidance this year, it was initially sort of a run rate on the value existing property portfolio, net leasing assumptions We have sold so far this year rolled down in Plano, Texas; Eden block and Eden Prairie, Minnesota; Park Seneca in Charlotte, North Carolina, these were also urban office properties proceeds of about $57 million from those sales. As John said, again, during the second quarter, we bought Two Ravinia in Orlando, which again reflects an urban infill type of location, as market type of locations for about $78 million. And the adjustments to narrowing of guidance really reflects that activity in the portfolio along with us. And lastly, I think, maybe the key point to takeaway from all of this is the leasing picture. The key to FSP’s future profit growth as we reposition the portfolio is leasing. And I put our leasing sort of in the two buckets. The first bucket is the over legacy suburban property bucket. And whatever current vacancies there is in those properties and upcoming lease world, this – an example of this would be our Timberlake Property and readdressing those who talked about so much during the course of the year beginning right from RGA beginning of the year and as working on the evolution of property comes from leasing of Energizer and Centene so far continue to work on that property. And the second bucket is this new urban value add space that we have been acquiring like this year Ravinia 2 Atlanta, 999 Peachtree unit in Atlanta, and we’re going to lump that matter in Denver 999, Broadway, and 1001 17th Street would be examples of this. And the reason in my mind there are two buckets is that the second bucket that move urban value add space is really what could move the needle here, not all square footage is created equal. The urban rents generally speaking versus our older suburban property are much, much higher, sometimes two to three times as high as our older suburban property. So leasing 10,000 square feet on average in an urban property versus 10,000 square feet in a suburban property really hits the FFO growth line very, very difficult. What we have been doing over the last couple of years is really generating a lot of embedded growth potential in the tight of vacancy square footage that we have in the portfolio now with this new urban infill acquisition process that go on. And so we believe we have a lot more potential on the upside in the coming years, of course, [that coupon in a footing] [ph]. We do have a lot of leasing activity, which has started up some of the fall again, and we look very much forward for the balance of quarter four and in 2016. And with that, I will turn the call over to Janet, to give you a little bit more detail of our leasing picture activity. Janet?
Janet Prier Notopoulos: Thank you, George. Our lease occupancy stayed virtually the same in the third quarter as the second quarter, although our physical occupancy picked up as tenants who signed leases in earlier quarters began to occupy their space and started paying rent. For those of you following the leaseback of the RGA space in St. Louis at the Timberlake Properties, Centene took early occupancy of some of the floors in the second building during the third quarter. But FFO was not scheduled to begin on the entire second building until December 1. So, I think, you’ll see the full effect rolling out in the next quarter. We continue to see good leasing activity on the remaining space in the third building, which is the only one that has significant vacancy at this point. And we expect to have some new leasing done there by the first-half of next year. Overall, this summer was quiet, as George said, but we’re seeing a pickup in activities since the fall began. And we should begin to see a higher volume of leasing in the last quarter of the year across our markets borrowing any unforeseen economic events. We have less than 1% of the portfolio expiring before the end of the year. So most of our efforts now are concentrated on the current vacancies and the 2016 and 2017 lease expirations. Our current vacancy is fairly spread evenly across our markets. But the largest concentration is on Denver and Atlanta, where we bought some vacancy as part of the value add strategy that George was discussing. Leasing activity in Houston is still slow, but we do not have a major block of space scheduled to expire there until 2017, and current market rates are still above our expiring rates. In 2016, approximately 10.4% of the portfolio space expires. Of that 10.4%, the TCF National Bank lease at the 121 South Eighth Street project in Minneapolis accounts for over a quarter of the 10.4% of the square feet expiring in 2016. TCF leases approximately 260,000 square feet in the combined project that we now call 121 South Eighth Street. Approximately, 98,000 square feet of that 263,000 is located in the tower at 128 – 121 South Eighth Street, which contains approximately 308,000 square feet in the tower alone. And another approximately 169,500 square feet are at least in the low-rise building connected to the tower, which we referred to as 801 Marquette. 801 Marquette is the building we’re discussing redeveloping, which we’ll take it out of the same-store results until it’s completed. With out 801 Marquette and its 169,500 square feet, 2016 lease expirations should drop to 8.7%. The expiring rent on the 169,500 square foot low-rise building is only $4.75 net. The expiring rent on the approximately 98,000 square feet in the tower is $11.25 per square foot net. Recently, rent from recent leases that the tower has been between $12 and $13, and those leases do not grew at the top floors of the tower that are still occupied by TCF, and should come in higher rents, while still being below rents for Class A buildings or new constructions. We’re talking now to prospects for the space for – that TCF will be vacating, and we expect that leasing activity will accelerate once TCF vacates and the final improvements to the common areas are complete. A state-of-the-art fitness center is currently under construction following upgrade to the skyway entrance, mechanical systems, lobby, and the new conference center. As we look out into 2016 for the rest of the portfolio, the good news is that close to a third of the total square feet expiring in 2016 is located in Dallas, which has been doing strong job in rent growth. In 2017, the largest concentration of lease expirations approximately 27% of the 11.6% forecast for the year are located in Atlanta, which has been another solid market for us. Our Regional Directors and I can talk more about specific markets and take your questions after the prepared remarks are completed. And with that, I’ll turn the call over to Jeff Carter.
Jeffrey Carter: Thanks, Janet. Good morning, everyone. I will review our investment activities for the third quarter and year-to-date, including dispositions and acquisitions. And I’ll conclude with an update on our development projects in downtown Minneapolis at 801 Marquette Avenue. On the disposition front, FSP continues our focus on asset recycling efforts as George discussed of mostly non-core legacy commodity suburban assets when an FFO appropriate pricing could be achieved. We had indicated the potential for dispositions of non-core assets of between $150 million and $200 million. And at this time, we are adjusting that guidance upward as George discussed in the earnings release at the top end. So the new range would potentially be in the $150 to $225 million range. And the year-to-date, we closed three properties for approximately $57 million. Currently, FSP is working on approximately $165 million of additional potential dispositions and possible loan repayment transactions. A number of these potential dispositions and our loan repayments are still subject to the respective due diligence periods and/or other transactions specific negotiations, and so execution risks remain. It is likely that some of these closings of potential dispositions and loan repayments, they still into the start of the New Year, and we’ll keep the market informed, as transaction clarity emerges. Moving onto acquisitions, as discussed on our last conference call, FSP desires the net acquirer. It has, however, the challenging from both lining up the timing standpoint and from the standpoint of finding appropriate high-quality assets in our target locations in submarkets and pricing that makes sense less at acceptable value. But there are some strong opportunities out there both on and off market that we have some potential angles on to pursue. Our objective has been to use disposition proceeds to fund new acquisitions and we’ve worked hard to try and match the timing on the sale and the buyers best as possible to mitigate FFO impact. Our purchase of Two Ravinia earlier in the year serves us a good example of our discipline in trying to line up dispositions with purchases. We’ve been targeting between a $150 and $300 million in total acquisitions, and we will maintain this guidance for new potential acquisitions may likely due to the first part of 2016 to better align with our potential disposition pipeline. Importantly, as George mentioned, further acquisitions and dispositions are not in our current FFO guidance. We are actively working on several specific opportunities at this time that we believe would contribute to our future growth and profitability and we continue to have a very healthy respective investment pipeline of currently about $730 million and we continue to see a number of potential off-market and on-market opportunities that driven into this pipeline. Again, we’ll keep the market aware of any specifics. On the development side at 801 Marquette, we are pleased to have progressed on a redevelopment plan for our CBD property at 801 Marquette. FSP currently contemplates co-developing in approximately 50-story, mixed-use tower that would include a full-service hotel, residential apartments, and office space. Under this plan, we would contribute the land and approximately $80 to $90 million in additional capital for 100% ownership of the office portion, which is tentatively slated to be about 260,000 square feet in the middle of the tower. We are currently specifically working with a residential group and a hotel company to further evaluate the viability of this project, both of whom have committed like us to the the 100% ownership of their respective portions of this proposed new mixed-used tower. Final costing and development agreements have yet to be concluded and so are subject to change. This successful in the costing of predevelopment work ahead we intend to break ground on the project sometime during the second-half of 2016. Significant product and design are being incorporated into the redevelopment of 801 Marquette in order to integrate it with and enhance the appeal of its next door neighbor office building our tower at 121 South Eighth Street. Now, at this time, I would like to turn the call back to George Carter to close. George?
George Carter: Yes. And so let’s open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Dave Rodgers of Baird. Please go ahead.
Dave Rodgers: Yes, good morning. Jeff and George, maybe a question to start with you in terms of acquisition and dispositions. George, in your comments I understand that that you’re kind of hesitant to put the acquisitions in place before you have the dispositions ready. But I guess I’d love to dive down with you and, Jeff, a little bit more in terms of why the dispositions have come along a little bit more slowly? I don’t know, if that’s a market function, you’re trying to lease space, it’s being too conservative, I’m just trying to get a better sense on the disposition side why those are moving faster?
Jeffrey Carter: Hi, David, it’s Jeff here. On the disposition side, we have been working hard on market conditions getting properties ready, as you know, we have not wanted to just sell to sell. We wanted to sell when the pricing is right and the timing is right for each respective property. And so that doesn’t always lineup as neatly and tidy as you always hope. But that’s really the rationale.
Dave Rodgers: But you feel pretty good that kind of going into the second or the last part of this year and early next year that you’re going to be able to monetize the assets given that the change in the guidance that you have, so you think most of that repositioning here in the near-term is done?
Jeffrey Carter: Well, we’ve got about $165 million that is being actively worked on for dispositions right now. And, again, they’re all subject to the respected due diligence periods, but assuming the things go according to plan with those particular transactions then, yes, but I would never say always until I know it’s done.
George Carter: And, Dave, this is George. The one other aspect of this that I really know is that, you will see the difference versus the urban properties. These – a lot of these suburban properties are fairly small. And so the buyers the potential buyers are also fairly small in our institution. And capital requirements and due diligence requirements, re-trading, backing out of deals, not getting the financing or loan that they thought they would be able to get kind of 1031 exchange like type of exchanges and so on, it’s just sort of a different group of buyers than traditional institutional buyers on these suburban properties. And they take longer. They fall out of bed. They have to heat up again and so on, so there’s some of that involved here too.
Dave Rodgers: Okay. Thanks for that color. Second question maybe on TCF and the redevelopment there. You talked about some office tenants negotiation or at least in early discussions, I think, Janet may have mentioned that. But can you kind of give us a sense whether there’s one large tenant that you’re looking at a couple of smaller ones, I mean, I know you’re going to backfill kind of 4x4. What’s your sense now as you get ready to kind of kick this thing off? What that’s going to look like?
Janet Prier Notopoulos: Well, I think, first of all, just going back, we think that it’s going to take TCF moving out to really show the space. The top floors are terrific use space, but conditions are kind of tough. So, I think, we’re looking at full floor tenants would be what we’re aiming for, but not one tenant to take out the whole space, the whole 90,000 the TCF has.
Dave Rodgers: Okay. And so would you be comfortable going on a speculative basis at this point, or what would be a leasing threshold in your mind?
Janet Prier Notopoulos: Oh, I’m sorry for the new developments?
Dave Rodgers: Yes.
Janet Prier Notopoulos: I’d let defer that one back to Jeff who can explain that re-complexity of the mixed-use?
Jeffrey Carter: Hey, we definitely – we anticipate preleasing prior to breaking ground, that’s our objective.
Janet Prier Notopoulos: And I’m sorry, Dave, my question – my answer was directed towards the existing tower, let’s replace an existing to TCF…
Dave Rodgers: Right. That’s fair. Last question maybe, George, and a question for you and the Board more broadly, comfort level and coverage with the dividend you’ve got some of these loans burning off, the TCF space is kind of coming back, I don’t know how long that kind of takes to get back in place, and then I know you’ve got some lease move-outs in 2016, I think on the last call that we talked about. Can you just talk about the dividend, your comfort level there in the near-term?
George Carter: The Board – I have to give you the standard answer, but it is the honest answer. And the honest answer, the Board looks at the dividend every single quarter, and could raise or lower that dividend any quarter they decide us to. The comfort level over the past years with our dividends, which has stayed as you know, flat for number of years now has been very, very good, and the comfort level this quarter is very, very good. But going forward, you look at everything and make those decisions and that is the way it works.
Dave Rodgers: Okay, great. Thanks, guys.
Operator: The next question comes from Jaime Feldman of Bank of America Merrill Lynch. Please go ahead.
James Feldman: Thank you. So as you guys think about the portfolio repositioning plan, you had 7.1 times net debt to EBITDA in the third quarter. How should we think about your target leverage over time?
John Demeritt: Hi, Jim, this is John. We tend to lineup, keep our leverage not much higher than where it is right now as it relates to total market cap. So we’re kind of at the top of the range maybe a little bit more from where we stand today. But we would like to be in the range of, say, 35% to say 45%.
James Feldman: And market cap?
John Demeritt: Yes, both.
James Feldman: Which, tend to fluctuate do you guys use any other metrics?
John Demeritt: Well, you could look at it as of – the value of the assets – which is about $2 billion on the balance sheet, if the stock price was really out of white.
James Feldman: Okay. And then can you talk more about Houston and what you’re seeing there? And I think you had a little bit of occupancy loss in Westchase in the quarter and present lease went down, but just bigger picture on the market and your leasing pipeline?
Janet Prier Notopoulos: This is Janet, and I’m going to turn it over to Toby Daley, who is the Regional Director for Houston. We did have one tenant at Westchase, that was about 35,000 square feet that tenant that left as the expiration of it’s lease.
Toby Daley: Hey, Jaime, Toby Daley here. Yes, that was the only activity that we had in all of Houston was that one tenant that left. And for 2015, I think we had a total of just over 100,000 square feet of leases rolling. And unfortunate that we lost 35,000 square footer. But we’ve done well on the balance and I think we’ll hold fairly steady through the end of the year. And then looking ahead to 2016, we only have 65,000 square feet rolling and overall the market – sorry, if you look at the stats, the direct vacancies, I think, quarter-to-quarter have actually dropped off a little bit. But the sublease space availability is certainly out there and that’s something that everybody is contending within all of the submarkets. The sublease space really caters to large tenants to tenants that are full floor or larger and most of the tenant role that we have are smaller tenants less than a full floor and it’s very hard for the large sublease spaces to accommodate small tenants, because they have to build multi-tenant quarter. So, I think, the outlook for FSP and our smaller tenant role is pretty good.
James Feldman: Okay. And then could you guys record a termination fee in the quarter. There’s something – in the same-store there’s something to get from the normalized to the regular as the…
Janet Prier Notopoulos: In Dallas.
James Feldman: What was that?
Janet Prier Notopoulos: In Dallas Legacy Tennyson has two buildings and they have – the tenant has the option to terminate one of the building early. And so we’re amortizing that termination to be over the remaining periods. And you will see it I believe it’s in our major tenants, I think, we need to say we noticed the two expirations dates rather than a single expiration date.
James Feldman: So when are they actually going to vacate?
Janet Prier Notopoulos: In…
Toby Daley: Summer…
Janet Prier Notopoulos: In the summer of 2016.
James Feldman: Okay. So, I guess, thinking about the Minneapolis 90,000 square foot and then the Dallas tenant, how do you guys think about your same-store NOI for 2016? It seems like you’re – all things being equal, you’re probably down still next year, or what do you think offset that?
Janet Prier Notopoulos: Well, we took back a lot of vacant – well first of all, we took back a lot of vacancy at the end of last year at the beginning of this year, that we’re sort of working through. And given the sort of standard time it takes from the time the tenant vacates sublease, we think that starts to leaseback up, and we’ll see some of the same thing. I think, if we are successful on TCS as we hope to be in the tower that will leaseback, we – I think we did a really good job of leasing back to Timberlakes in suburban market in a fairly amount of time. So a lot is going to depend upon the market, but we think we’re working through a lot of the – those vacancy that we got back and we’ll keep on going through the others. We think that, as I said before, we think that our new expirations that are in markets that haven’t been hit hard like Houston, so, hoping that will move.
James Feldman: So, I guess, just thinking about the leasing pipeline, do you think your occupancy at year end assuming that you don’t change the portfolio at all. Do you think your occupancy at year end 2016 will be higher or lower than you were at 2015?
Janet Prier Notopoulos: So long way out I would hope that we would be higher I don’t think that may we think that at a minimum we should remain be able to hold where we’re. So we haven’t given specific guidance on.
George Carter: Jim, hi, this is George I think and lot of it depends on what we’ve left I think if you take a look at the portfolio that exist today I think we’ll be – well, where we’re more higher, but if we acquire vacancy, which is what we’re doing and who knows.
James Feldman: But, yes I was thinking more of a same-store?
George Carter: No I know, but Jeff, gets on portfolio at year end. So portfolio at year end 2016 will include some new acquisitions. If you took – if you said keep the portfolio stack for 2016 I think we’ll be at or higher occupancy.
James Feldman: Right, so I guess asking you the same question on same-store NOI. Do you think it will be flatter up or down?
George Carter: I don’t know, I just don’t have I think our occupancies will be up on that levels are trying to move up so everything we need to – we should show better same-stores are up absolutely.
James Feldman: Okay, all right. Thank you.
George Carter: Okay.
Operator: And next question is from Erin Aslakson of Stifel. Please go ahead.
John Guinee: John Guinee here. I’ve got two questions. One just the follow-up on the first one is just you’ve got a million square feet rolling next year I think, which includes guaranteed move out of TCF and then also 100,000 feet of a Denver A onshore, it sounds to me as if you sort of start there out with 363 to the negative is that correct?
Janet Prier Notopoulos: Well the Denver A comes in the middle of the year.
John Guinee: Right, but of a million square feet you already know that your maximum kind of retentions about 64%. So it will be awfully hard to even get above 50, which means it will be awfully hard to maintain a 90% of portfolio occupancy in the core portfolio isn’t that and okay we look?
Janet Prier Notopoulos: I’ll refer to John Donahue, who is here to just tell us, but the facility that we’re getting back well fully somewhat so we’re dealing with tenants who like being in the building. We’re talking to them and we’re talking to new tenants. So that and that is Dallas. So that when I think we would not expect to see that said vacant for a very long time. And as I said before on – as we do the development on 801 Marquette a 169,000 of that TCF vacancy is no longer in same-store, it’s part of the development.
John Guinee: Okay.
Janet Prier Notopoulos: Okay, I mean this – and then I think we’ve got a somewhat normal 10% under 10% expiration rates that you would expect for the 10 year leases is what we would have in any given year and we should be able to fall through that.
John Guinee: Okay, and then George, couple of new Board members, can you sort of talk through the thought process on what appear to be some local folks versus on a season real estate vets?
George Carter: Well, we’re just real excited about Kate, and Ken, is joined the Board independent Board members, it has a variety of things to bring to the party, it has Ken, particularly from a historical basis with our company. So we’ve – we’re real excited about it. Again we’re John, we’re still a very small company and lot of people that have made really good reputations here in a Greater Boston area is that I’ve got to know us a little bit and we’ve got to know a little bit over time really make a lot of sense for us now people traveling from all over the country to Board meetings and so on that we don’t know and don’t know what’s, because again we’re relatively small lease. So doesn’t make time sense at this point. These are really fine people and we now will have 8 Directors successful and we’ll be independent so we keep moving as we go along to more and more of an independent work.
John Guinee: Do you think it’s better to bring in friends and family to the Board than really people with solid read experience who are recognized as shareholder fiduciaries?
George Carter: We think these people are really the fine, fine Board members, and really do a great job I’m sure, and really do their fiduciary responsibility as well or better than anybody we could ever find.
John Guinee: Well as anybody?
George Carter: As well as anybody we could ever find.
John Guinee: That’s commitment. Thank you.
George Carter: You’re welcome.
Operator: [Operator Instructions] The next question comes from Tom Lesnick of Capital One. Please go ahead.
Thomas Lesnick: Hey, good morning, guys. Just a quick question on the dispositions. As we’re thinking about rising – entering your rising rate environment this year knowing that a lot of these assets are on the smaller side, and the potential buyers might require a greater leverage debt and same institutional buyer. What if at all has that mindset impacted those potential buyers mindsets and/or pricing generally for those assets?
Jeffrey Carter: Tom, this is Jeff Carter. Our – the demand we’ve had from buyers this year on deals that we’ve contemplated selling has been extremely high as George mentioned. We’re selling them for mostly suburban commodity profile asset. And so the buyer pool is a different buyer pool than the more institutional pipeline deals that we’re competing with [indiscernible]. So far the pricing that we’ve seen on deals has been well accounts fairly historic, and it’s – and if you look back historically, it’s raising. But until they’re achieved in the books then it’s hard to – it’s hard to say that anything is for certain. And so right now we’ve got about $165 million in deals that we’re working on, the pricing again on all these deals is fairly historic in its nature. But we have to get them over the end zone with these buyers and we’ll keep you posted on that.
Thomas Lesnick: Okay. So there hasn’t been any sort of revision in expectations, if you will?
Jeffrey Carter: I have not seen changes in pricing at this point.
Thomas Lesnick: Okay. Thank you.
Jeffrey Carter: Yep.
Operator: There are no additional questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to George Carter for closing remarks.
George Carter: Thank you very much everybody for taking the time and effort to listen to the call, and we look forward to talking to you next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.